Operator: Good day, ladies and gentlemen, and welcome to the fourth quarter 2009 Archer Daniels Midland Company earnings conference call. My name is Derrick, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate the question-and-answer session at the end of the presentation. (Operator instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn your presentation over to Mr. Dwight Grimestad, Vice President of Investor Relations. Please proceed.
Dwight Grimestad: Thank you, Derrick. Good morning and welcome to ADM's fourth quarter earnings conference call. Before we begin, I would like to remind you that we're webcasting this presentation on our website, adm.com. The replay will also be available at that address. For those following the presentation, please turn to slide two, the company's safe harbor statements, which says that some of our comments constitute forward-looking statements that reflect management's current views and estimates of future economic circumstances, industry conditions, company performance and financial results. The statements are based on many assumptions and factors, including availability and prices of raw materials, market conditions, operating efficiencies, access to capital, and actions of governments. Any changes in such assumptions or factors could produce significantly different results. To the extent permitted under applicable law, the company assumes no obligations to update any forward-looking statements as a result of new information or future events. Slide three lists the matters we will discuss in our conference call today, and I will now turn the call over to Chairman and Chief Executive Officer, Pat Woertz.
Pat Woertz: Thank you, Dwight, and good morning everyone. I will begin with safety. This year we extended our record of year-to-year improvements, reducing lost workaday frequency by 10% and our recordable incident rate by 20%. During May, ADM colleagues around the world celebrated our third annual global safety week, and May was our best month on record for recordable incidents. It was clear that attention to safety does bring improvement. Turning to our financial results, I will start with a few brief comments about the quarter and the year, and then Steve will describe the quarter in more detail. In the fourth quarter, we felt the impact of the global economic downturn as we concluded a year of good performance overall. Net earnings for the quarter were down 83% to $64 million. For the year net earnings were $1.7 billion down 5% from 2008. Revenues were in line with last year at just over $69 billion. This really was a year of mixed performance with weak results in corn and other processing and very strong results from oilseeds and ag services, weak second half results and strong first half of the year. As I've said before our unparalleled assets and great people put us on a strong footing to identify and pursue market opportunities. And last year we pursued those opportunities were possible. As the global economy slumped and demand slackened, we leveraged a different set of opportunities. In this downturn, we used our strong balance sheet and cash flow to make strategic investments and build long-term value. I'm proud of the work that we did in 2009 to expand the size and global reach of our core model. Let me just summarize a few. The first of our big seven projects is now online with the most of the rest of them nearing completion. We expanded our processing operations and made selective acquisitions in key markets. We grew our South American packaged oil business, our European oilseed operations and our European chocolate business. We expanded US oilseed processing capacity, Brazilian biodiesel operations, and our fertilizer blending capability in South America. We expanded our global origination and transportation networks, adding barges, silos, and oceangoing vessels. We formed strategic joint ventures, one with Associated British Foods to enhance the value of our North America packaged oil business, and another with Grupo Cabrera to add sugar cane to our feedstock base. That JV is building two sugar ethanol facilities in Brazil and we expect the first to begin production this fall. As we look ahead, we do see signs of improving demand in the various food, feed and fuel markets that we serve. We see discretionary blending in the US ethanol market. We also see opportunity for increased sweetener sales to Mexico, and we have moved through the higher priced net corn that diminished our margins this year. We see more forward protein meal demand, Brazilian demand for biodiesel remained strong, and we're optimistic as we can be, about as optimistic as we can be at this time about the size of the US crops, which should benefit our ag services business. And lastly we remain financially strong and well positioned to capture value as global markets recover. Longer term, we will continue to serve the world's vital needs for food and energy, and we do remain committed to delivering long-term value for our shareholders. So that is the recap for the year. Now I will turn it over to Steve.
Steve Mills: Thanks Pat and good morning everyone. Starting off with slight 5, you will see our financial highlights for this quarter. Segment operating profit decreased 73% for the quarter to $208 million. We will discuss these results on a segment by segment basis in a few moments. Quarterly net earnings and earnings per share both decreased significantly as lower segment operating results were partially offset by decreased corporate expenses and by an income tax credit for the quarter. Speaking of income taxes, our rate was impacted by a number of items this quarter. As we analyzed our actual foreign tax expense for the fiscal year as compared to our estimates, we trued up several items including the impact of a more favorable geographical earnings mix, and a currency related item from the re-measurement in dollar terms of our tax liabilities in South America. We also had reductions in both provisions for our PIN 48 contingent tax reserves and our allowance for unusable foreign tax credits. Partially offsetting this list of positive items was the additional $61 million of tax charge related to the Wilmar reorganization that I spoke to you about last quarter. As we look forward to fiscal year 2010, we're currently projecting a tax rate in the 29% to 30% range and that is subject to any additional taxes we may need to accrue related to the Wilmar reorganization. This chart also shows the after-tax charge related to the year-over-year change in our LIFO based inventories. As we recorded a $0.05 after-tax charge in the quarter compared to $0.19 charge a year ago. At the bottom of the slide 5, we have our waterfall chart that shows the after-tax impact on our quarterly net earnings and earnings per share of our share of Gruma’s foreign currency losses, the Wilmar tax item and for LIFO. In the appendix, we have more detail of these items for the quarter as well as similar data for the year. Turning to slide 6, slide 6 shows the summary of our operating profit by segment detailing the changes in operating profit for the quarter and fiscal year. Let us go ahead and turn straight to slide 7 to begin the review of each individual segment in more detail starting with oilseeds processing. Following last year strong fourth quarter oilseeds processing results, operating profit this quarter fell $227 million due to the impact from a weaker global economy. As you will see from the volume information in our appendix, our total processed volumes were down about 2.5% as we decreased North American crush rates in response to weaker product demand. This North American decrease was partially offset by increases in both Europe and South America. Crushing and origination results declined $ 135 million to $141 million. North American results decreased in industry crush volumes and cash margins fell as compared to last year’s fourth quarter. European results also decreased as we saw lower soy crush results, and reduced grain origination volumes and margin. In South America results were down less significantly as continuing strong soybean exports partially offset reductions in fertilizer and crushing. In refining, packaging, biodiesel and other results decreased $13 million to $21 million for the quarter due primarily to weaker zero European biodiesel margins and just some restructuring charges that were taken related to the rationalization of production assets of our recently formed Stratas Foods packaged oil joint venture. We are optimistic about Stratas as we integrate these operations. Our oilseeds results in Asia were materially unchanged quarter-over-quarter as our investments in that region, principally Wilmar International Limited continue to perform well. As a note, current market value of our Wilmar investment currently stands at about $4.4 billion. Taking a look at crop update for soy and oilseeds, last year's US soybean crop was 2.96 billion bushels and the projected carryout is 110 million bushels. Soybean supply is fairly tight given the smaller South American crop. The USDA June acreage survey indicated that farmers planted 77.5 million acres of soybeans, up from 75.7 million acres last year. The overall soybean crop is in good condition, but it is in the early stages of development. August tends to be the critical month for determining soybean yields. USDA is projecting yields of 42.6 bushels an acre, which would ease the right soybean supply situation. With last year’s South American soybean harvest well below normal, a more typical harvest in South America next spring would bring the carryout back to more comfortable levels. Current market conditions, crop prices are down from their highs, but with the current right soybean supply situation the potential for price volatility remains. We have seen global protein meal demand stabilize, and demand is now projected to increase. For the crop year ’09 and ‘10, the USDA projects group in the 3% range, bringing consumption back to slightly above ‘07, ‘08 levels. Vegetable oil inventories have declined slightly from their recent high levels. Biodiesel demand is Brazil remains strong. Brazil moved to a B4 requirement in July, and the mandate is slated to increase to B5 in 2010. In Europe, palm-based and imported soy biodiesel are currently displacing EU produced biodiesel. We do see improved demand going forward as Spain and Italy start biodiesel programs, and Northern Europe switches to a winter higher rapeseed oil blend. Moving to corn processing on slide 8, throughout fiscal 2009 higher priced net corn had a significant impact on our margins. For the quarter, corn processing results fell as we moved through our higher-priced net corn and a weak ethanol environment. Operating profit fell $273 million to a loss of $11 million for the quarter as improved results in sweeteners and starches only partially offset the losses in bioproducts. Sweeteners and starches operating profits for the quarter increased $10 million over the prior year to $149 million, principally due to higher average sweetener selling prices and lower manufacturing costs. These increases are partially offset by the higher net corn cost and by reduced sales volumes. Bioproducts recorded a loss for the quarter of $160 million resulting from lower selling prices for both ethanol and lysine and the higher net corn costs. These were slightly offset by lower manufacturing costs. Crop update for corn, USDA June acreage survey indicated that farmers planted 87 million acres of corn up from 86 million acres last year. Again at this point in time, the overall corn crop is in good condition. The USDA is projecting yields of 150.4 bushels an acre, which would provide an ample supply of corn to meet all needs, including the corn needed to meet the higher RFS requirements. In current market conditions for ethanol we're seeing some discretionary blending above the levels required by the RFS, given the current favorable economics. We also see increasing demand for gasoline, but ethanol margins are positive even as the industry has dealt with new ethanol production coming online. Industry sources now show 10.5 billion to 11 billion gallons of ethanol capacity online, 2 billion to 2.5 billion gallons of capacity idled, and 1.5 billion to 2 billion gallons of capacity under construction. And the RFS for calendar 2010 will add 1.5 billion gallons to the mandated blend volumes. Lower year-over-year levels of US carbonated soft drink consumption (inaudible) reduced corn sweetener volumes industry wide. Increasing HFCS volume to Mexico should help to offset this decline and keep demand for sweeteners balanced with supply. Let us now turn to slide 9, and review the operating performance of our agricultural services segment. Ag services lost $17 million a quarter, merchandising and handling results were down $117 million as compared to the year ago quarter. Merchandising margins were weaker as demand for commodities and related freight slowed with the global economy. Results were also negatively impacted from less favorable risk management results. Operating earnings from our barge and truck transportation operations decreased $6 million for the quarter principally driven by high water conditions in the upper US waterways that reduced operational efficiency of our Archer [ph] barge operations. Looking at current market conditions, we are seeing more forward bookings in anticipation of the upcoming US harvest. And as we mentioned at this point in time, we are optimistic about the size of the US crop, which should benefit our ag services business, and China continues to be a strong forward buyer of soybean. Turning to slide 10, slide 10 is an operating profit analysis of our other segment. Our other segment reported an overall profit of $9 million this quarter, a decrease of $25 million from last year's fourth quarter. Other processing had higher results due principally to improved global wheat milling margins and a one-time gain related to the finalization of the disposal of our malting business. These improvements were partially offset by declines in cocoa due to lower sales volumes and by additional losses of our equity (inaudible) Gruma. A quick update on Gruma, in July Gruma announced they had reached agreements to terminate the final portions of their currency derivative positions and that their ongoing negotiations with their counterparties to structure financing terms for these losses had been extended. And on July 22, Gruma released their second quarter results, which showed positive net income on a Mexican GAAP basis for both the quarter and six months. Comparable other financial earnings were down $33 million. Our captive insurance business had another difficult quarter experiencing higher than normal losses. In addition the ongoing low interest rate environment continues to dampen results at our investor services business, and we had a loss in our managed funds portfolio for the quarter arising from further write-downs in the funds underlying investments. A market update on wheat flour, demand is steady and it appears to be a good supply of wheat globally. USDA projects world wheat production of 656 million metric tons for the current crop year, which would provide ample global supply especially given the large carry out [ph]. The cocoa bean crop is similar in size to last year, but with reduced demand appears to be sufficient. Slide 11 looks of the major components of our corporate line. Market prices for our LIFO based inventories rose during the quarter, requiring an increase in our LIFO inventory reserves of $54 million compared to a LIFO reserve increase in the year ago quarter of $198 million. Corporate investment income and expense decreased $50 million principally reflecting higher long-term debt interest expense and a significant decrease in interest income due to lower short-term interest rates, and lower working capital requirements of the operating segments. And corporate costs and other for the quarter were broadly comparable. Turning to slide 12, on slide 12 we move away from the operating segment view to the financial statement format. Net sales and other operating income decreased 24% this quarter to $16.5 billion. The majority of this decrease came from lower average selling prices, due principally to the year-over-year decline in underlying commodity costs and a foreign exchange translation impact. Higher sales volumes partially offset these decreases. The gross profit decrease for the quarter principally reflects the decreased segment operating profit, we just discussed. Selling, general and administrative expenses decreased 8% quarter-to-quarter. After taking into account impacts from foreign currency translation and divestitures, SG&A costs were down approximately $6 million or just under 2%. Other income and expense net decreased $58 million quarter-over-quarter. This change was due mainly to decreased equity earnings of our affiliates particularly Gruma and increase in net interest expense and an impairment charge related to one of our marketable security holdings. Income tax is also shown here, but I've just refer back to the comment I made earlier in my presentation. Turning to slide 13, we have called out several year-end balance sheet highlights. Strong earnings for the year and the reduction of working capital requirements due to the drop in commodity prices have had a significant favorable impact on our balance sheet during the last year. Operating working capital was down, total debt was down. We have no commercial paper outstanding and our cash balances are up. Our net PP&E is up due principally to the spending on our big seven capital projects. Shareholder’s equity did not change materially for the year as equity has been reduced by the movements in foreign exchange rates as compared to the US dollar. With the stronger dollar translating our foreign denominated balance sheets has reduced both the assets and liabilities sides of the consolidated balance sheet. Turning to our cash flow statement on slide 14. Slide 14 lays out the significant items impacting our cash flows for the 12 months ended June 30. I will touch quickly on a few of the larger items. Cash generated from operations before the impact of changes in working capital was strong again this year at nearly $2.3 billion. Cash flow provided from the changes in working capital requirements again reflect the lower inventory and receivables levels emanating from the significant decline in commodity prices. Our capital expenditures and business acquisitions for the year of $2.1 billion ended up being at the low-end of our fiscal year ‘09 CapEx estimates. Our current estimates for fiscal year 2009 spending is in the $1.5 billion range as we finish up the majority of our big seven projects and we have capital spending plan for efficiencies and maintenance. We paid down $2.8 billion of debt this year primarily reducing our short-term borrowings. And as I have mentioned in the past quarters, the key takeaways from slide 13 and 14 are that our balance sheet remains strong and that we have significant financial flexibility. Turning to slide 15, slide 15 provides an update of over current financial performance using our ROE and RONA adjusted for LIFO. Both metrics are presented here on a rolling four quarter basis. As would be expected with the decline in commodity prices, our working capital asset base has also declined this year. Our fixed asset base has risen primarily due to the expenditure on our major capital projects. Our four quarter average rolling RONA, adjusted for LIFO now stands at 9.3%, and return on equity is at 12.6%. Both solid numbers in light of the volatile market conditions we have seen and the significant amount of preproductive capital that is currently on our balance sheet. At this time, I will turn the call back over to Pat and we will be glad to take your questions.
Pat Woertz: Okay, thank you Steve. Operator, if you could open the lines, Steve Mills, John Rice, and I are here to take your questions.
Operator: (Operator instructions) Your first question comes from the line of Vincent Andrews with Morgan Stanley. Please proceed.
Vincent Andrews – Morgan Stanley: Sure. Good morning everyone.
Steve Mills: Good morning Vincent.
Pat Woertz: Good morning Vincent.
Vincent Andrews – Morgan Stanley: I guess, you know, maybe the first thing I want to focus on is just you know, as far as I can tell you you've never lost money in ag services in a quarter. Is that true prior to this?
Steve Mills: Well, that is a good question. Summer has been around a long time. I don't recall specifically.
Vincent Andrews – Morgan Stanley: Well, hasn't been recently then. So, I guess what I was probably most surprised by that, and so maybe we could just delve into. I mean, is that purely hedging or is there something else we should be thinking about there?
Steve Mills: I'd start with this and see if one of my colleagues wants to head on. I think hedging -- I think I like to refer to it as that we manage risk and of course we use many tools to manage our risk and our positions, and we follow the appropriate accounting rules including marking instruments to market a period in. So, I think as we mentioned in the call we also saw much weaker demand during this past quarter.
Vincent Andrews – Morgan Stanley: Right.
Steve Mills: It's as in ag services it is a mix of opportunities and activities and a mix of results.
Vincent Andrews – Morgan Stanley: So was there an -- were you intimating that there is some chance that some of the unfavorability this quarter can reverse in later quarters?
Steve Mills: Well, what I've mentioned is that we do at all in not just this quarter, every quarter we mark our positions to market. So to the extent that we have recorded those at June 30 or June 30 levels, there will be changes from June 30.
Vincent Andrews – Morgan Stanley: Right. Will a lot change right around June 30 with the crop report? That's why I asked. Okay. And then maybe, next on ethanol, it seems like sequentially based on my take on your comments on the last quarter was that there was going to be a sequential improvement in ethanol and things seem to go the other way. So if that wasn't incorrect what happened during the quarter and was I -- my assumption correct in the first place?
John Rice: Vincent, let me just make one other comment about ag services. To Steve's point, we were also -- taken a point in time. When you look at the whole year, we had a very great year when you look at ag services. Though when we mark things to market at the end of any given month can also have an affect on how that quarter is going to look. The ethanol market as Steve said are high net corn caused us to have some larger losses this month. Also in ethanol, as you recall from the last conference call we do charge our ethanol division a charge to buy the corn from the sweetener and starches area. Looking forward, we see the ethanol market looking very good going forward. We see the supply and demand being very close to balance, and right now the market is in a backwardation, which means there is very good demand versus a nearby supply.
Vincent Andrews – Morgan Stanley: Okay, thanks very much. I'll pass it along.
Pat Woertz: Thanks Vincent.
Operator: Your next question comes from the line of Christine McCracken with Cleveland Research. Please proceed.
Christine McCracken - Cleveland Research: Yes, just to follow-up on the previous line of questioning and your expectations around I guess the impending decision around the higher blend, curious to see what your thoughts are as we head into the back half of the year and expect a decision on that?
Pat Woertz: Okay, Christine, maybe I'll start with that. You know, as you know the EPA received an application back in March to allow E15 blends and that was a public comment. I think about 3000 comments were in that close towards the end of July and it is expected the EPA will have a response by December 1st. So, even if it does not respond to go all the way to 15, it's our expectation or hope that E12 on the way say to E15 is one of the likely outcomes. So that would be next year -- that would be in place next year in 2010. So we'll wait to see on December 1st. We'll of course know that closer or maybe even have a better feel for that by our next call.
Christine McCracken - Cleveland Research: Structurally, you think that if we were to move to an E12 blend, you would be obviously increasing at least the blending levels in some parts of the US, and then therefore driving incremental demand in pricing along with it?
Pat Woertz: Right. If the economics allow, we would have increased blending and most of the data or all of the data we've seen says that it can be safely and effectively done without adding, you know, additional infrastructure cost et cetera. So that's a positive thing with respect to the infrastructure being able to easily absorb the additional blends.
Christine McCracken - Cleveland Research: And your two new dry mills are scheduled to come online, I believe within a relatively short period of time. Can you give us an update on that and if that --
Pat Woertz: In the appendix this time we did the update on the projects, I think it's on page 20 or the update is on page 26, and it shows our Columbus plant coming on in the fourth quarter of '09 and Cedar Rapids in the third quarter of 2010.
Christine McCracken - Cleveland Research: Thank you. I leave it there.
Pat Woertz: Thanks Christine.
Operator: The next question comes from the line of Christina McGlone with Deutsche Bank. Please proceed.
Christina McGlone – Deutsche Bank: Good morning.
Steve Mills: Good morning.
Pat Woertz: Good morning.
Christina McGlone – Deutsche Bank: I guess, turning to oilseeds, I was a little bit surprised that it was weaker, given some of the competitor performance and I'm wondering, you know, how to reconcile what other people have said versus the results that came in for ADM?
Steve Mills: Well, Christine I can't help you reconcile to other people's results, but what we saw on this quarter was weaker demand in biodiesel in Europe. Argentina was shipping more biodiesel to Europe during that period of time United States was not able to, but what we do see going forward in oilseeds is a better biodiesel market, because we have France, Spain, and Italy going to be blending next year. We're also seeing better demand going forward. We are also seeing more forward interest in purchasing of products. So, we still have a tight period right now to work through in our -- in the soybean supply situation, but going forward I feel very positive and also when you look at this fiscal year like our ag services, this was a record year in oilseeds.
Christina McGlone – Deutsche Bank: And John, as we had entered the fall, do you think that, I mean, South America is going to be largely out of beans by that point and the US will have to supply the world. So, I mean that seems to fit right into your -- in your backyard. I mean how do you see that playing out?
John Rice: Exactly like you said as the crush rates go down in Argentina and Brazil, we see more opportunity to run the North American assets at full -- at higher capacities.
Christina McGlone – Deutsche Bank: Okay, and can you just update on US biodiesel, I mean, I think utilization is running at 15%. There's a lot of uncertainty with respect to regulation. How is that playing out with respect to soybean oil values in inventory?
John Rice: Well it is an unknown right now. There's still discussion in the legislation on how this will all come into play right now. It's all -- it's mostly talent [ph] that works, but with the situation we have globally right now with Argentina shipping the biodiesel to Europe, we will end up picking up more vegetable oil sales in the food side in other places around the world. So when you look at the whole supply and demand for oil next year it is looking very positive, now we have higher palm production, but right now it looks like with the increased demand for biodiesel, especially coming in Europe and the food demand increasing, there can be a very positive year for oil we feel.
Christina McGlone – Deutsche Bank: Okay. And last question, just to follow on Vincent's questioning. Can we think about ag services with a clean slate right now or how do we view the future given these positions that are on the books. I mean, is that any differently than we normally do?
Steve Mills: It's hard to say, you know, we have some positions every quarter, and then we bring things to market and so I guess -- again like John I won't tell you how to model it, but this, we didn't have any changes in accounting methods or procedures here. So --
John Rice: But going forward with the expectations on this crop, it should help our ag services with very large corn, very large bean, will help our transportation assets. Now we still have ways to go before harvest, but right now things look really positive going forward.
Christina McGlone – Deutsche Bank: Thank you.
Pat Woertz: Christine, I also might just add that if you think about the network, it is built to handle a large crop. So with an expectation of optimism around the crop that should help.
Christina McGlone – Deutsche Bank: Okay, thank you.
Pat Woertz: Thank you.
John Rice: You're welcome.
Operator: Your next question comes from the line of Ken Zaslow with BMO Capital Markets. Please proceed.
Ken Zaslow – BMO Capital Markets: Hi, good morning to everyone.
Pat Woertz: Hi Ken.
Steve Mills: Hi Ken.
Ken Zaslow – BMO Capital Markets: Just Steve -- I think you said something that was interesting about the corn side. Just to make sure because if I look at sweeteners, they sequentially improved this quarter while bioproducts obviously sequentially did not improve, yet, you know, ethanol prices went higher, and I think you used to say that the reason for that is because the sweeteners actually gets charged, I'm sorry the sweeteners charge the bioproducts, the higher net corn cost, is that what you said?
Steve Mills: Both sweeteners and bioproducts share in high net corn cost. They each are paying for their corn, and then on top of that bioproducts is paying the sweeteners and starches group at processing fee to move that corn over there. So there is no question that that is some inner stump segment movement there.
Ken Zaslow – BMO Capital Markets: Is the discrepancy -- I mean, sweeteners and starches you know, sequentially improve. If you're saying that higher net corn cost ran through both corn processing, sweeteners and starches actually sequentially improve, bioproducts did not. I'm just trying to figure out how that works. It doesn't make sense. Right, if they are both having higher net corn cost going through, why would one sequentially, both sweeteners and starches prices increase and ethanol prices all increase. You think that the relative magnitude of the sequential drop would be similar? Am I missing something?
Steve Mills: Well, the other factor is selling, absolute selling price levels both sweeteners and starches being up and ethanol not. And those comparisons as we look, now as we lay this out we're doing it on a year-over-year basis.
Ken Zaslow – BMO Capital Markets: Yes, but I usually look at a year-on-year, but again ethanol prices sequentially improve, I think that current year prices probably you know, improves a little bit but both of them would have the impact of negative corn cost. Why wouldn't there be a similar impact on both their businesses? Take it off-line if it maybe --
Steve Mills: I mean, I heard you, but --
Ken Zaslow – BMO Capital Markets: It doesn’t make sense?
Steve Mills: It makes sense from our end here. So we are not connecting here Ken.
Ken Zaslow – BMO Capital Markets: I'll ask off-line. It just -- it seems like you would think there would be in such a discrepancy between the two, you know, sweeteners and starches improve, then bioproducts decrease, but yet, the selling price didn’t diverge by that much, all right. I'll kind of figure it out afterwards. I'm assuming China bought soybeans from the US and ADM sells soybeans to China. Where would that be reported?
Steve Mills: It depends where the sale is -- out if it. It is out of the United States it would be in ag service. If it comes out of Brazil, it would be an oilseed processing.
Ken Zaslow – BMO Capital Markets: So, assuming that, you know, trying to get back soybeans from the US and they bought from you guys, how come that wasn't really recognized in the ag services business to any extent, I mean you lose $17 million it seems. You know, why wouldn't that be in that business? You know, Bunge had a nice quarter on selling to China. Do you not sell as much to China? Is there an issue there?
Steve Mills: I don't know exactly how much Bunge sells to China but we -- there is other things than just China soybean sales that's in the ag services. We also have, we have global businesses, we have businesses in Europe that come into ag services. We are trading wheat, we are also trading corn, and there weren’t much -- as much sales out of United States during this last period as maybe Brazil's because there were coming through the harvest period.
Ken Zaslow – BMO Capital Markets: Okay, so you think it was more because of maybe it was more weighted to the Brazil transport than the US transportation?
John Rice: That could be it but I guess I'd have to look back but I would -- looking at the prices and the price spread and the freight spread I would say that more savings would have been shipped out of Brazil last quarter than out of the United States.
Ken Zaslow – BMO Capital Markets: Okay and my last question is if I think about (inaudible) negotiations. Can you tell us where we are on that, how utilization rates are, and, you know, is it possible to have, you know, price increase along with inflation or how do you think about how that's going to play out for 2010?
Steve Mills: That will all be based on utilization. It'll depend on how much more Mexico picks up with the high price of sugar. We are seeing more people with a high price of sugar in the United States, buy more fructose. So it is really too early to tell, but it'll be a utilization rate. A big part will be on the starch business. We're starting to see the starch business come back in June. That helps people's utilization that could have a positive effect on high fructose, but it's -- like I said it is still too early to say. There is long ways to go between now and October and we have to see how the crop comes out.
Ken Zaslow – BMO Capital Markets: Okay, thank you.
Pat Woertz: I maybe add to that John, did you talk about the levels of sugar overall affecting it. Net corn values, if they stay below where they were last year’s pricing discussion, we may have lower pricing in 2010, but again our focus is on maintaining as John said sort of similar improved margins. That's the point in that business. It's a margin business.
Operator: Next question comes from the line of David Driscoll with Citi Investment Research. Please proceed.
David Driscoll – Citi Investment Research: Great, thanks a lot. Good morning everyone.
Pat Woertz: Good morning David.
David Driscoll – Citi Investment Research: I just wanted to follow up on the starches and sweetener question. John, can you give us a figure for where industry utilization rates are for starches and sweeteners, US?
John Rice: No, I cannot. I can just tell you that our plans are running harder but we are also producing more ethanol right now and less sweeteners, but I could not give you a good indication right now on the industry just because I think starches are -- have been dramatically down more than high fructose corn syrup.
David Driscoll – Citi Investment Research: Okay, so when you give your volume numbers for that particular segment, I believe it's just all combined together, both ethanol and then the starches and sweeteners. What I'm trying to -- would like to get a sense for is the pacing of what you've seen in terms of volume decline. So the first half of calendar '09 versus your expectations for the back half, can you just give some commentary for starches and sweeteners and how the volumes are moving here, was it you know, dramatically more negative in the first calendar quarter and in the back half of the year. Could you actually see this flat or would you still expect year-over-year volume declines?
John Rice: It seems like the volume decline like we mentioned earlier has flattened, if that's the proper way to say it, but with the increase that we expect to shipments to Mexico, we see a positive increase in shipments in our high fructose, and like I mentioned earlier with the increased shipments in our industrial starch business in June, we expect that to also go forward at a better pace than what we saw in the first half of the year.
David Driscoll – Citi Investment Research: Can you quantify your estimates for shipments in the back half of the year to Mexico, either ADM specific or industry shipments either way you like?
John Rice: No, I can't. Just because it's -- we are starting to see more of that come into play people had their sugar bought earlier in the year. Now we are getting more requests to increase our shipments. So it's still a little bit too early to say exactly, but we are seeing much more interest.
David Driscoll – Citi Investment Research: Steve, you mentioned in your prepared comments and in the press release that there was a decline in fertilizer profitability in your oilseed processing segments. I believe that's where it showed up. Can you talk a little bit -- as I choose to more color here how large was the decline in profitability specifically related to fertilizer, and can you just expand on the reasons why? We don't often hear very much about fertilizers, specifically from ADM, which is really the underlying nature of the question.
Steve Mills: Okay, well just a couple of thoughts on that. First of all, as you point out we do have a fertilizer business in South America. We principally use it to enhance our origination operation, and we are buying both fertilizer and blending it to specific farmer needs, and we talked about it on again a comparable basis. A year ago was an operation that had done better. It's not in the grand scheme of oilseeds, it's not a big number, and we, you know, we probably look at a different than other folks. It's really just a tool. So we went from you know, it's a relatively small gain to a relatively small loss, but there is enough that we thought we'd mention it.
David Driscoll – Citi Investment Research: All right, it's usually a materiality issue in terms of why you mentioned it or why you don't which is why I'm asking because it's something I haven't heard before from the company. Last question here just on Wilmar, can you just give us any guidance here on further increases to tax expense related to the Wilmar restructuring?
Steve Mills: Well, we've got one more potential payment and that will happen when the reorganization is complete, which is on it's kind of its own time line. It has got kind of out of our control. It's in the regulator's hands and that could be as much as a year ahead, and it's going to be based on the market price of Wilmar shares, the way the tax calculation is made and that continues because Wilmar share value continues to rise. We mean the tax number will rise, and I think it's in the $0.5 billion range at this point in time. We have a final number when we put out the 10-K.
David Driscoll – Citi Investment Research: I appreciate the color right there. Thanks for all the answers.
Pat Woertz: Thanks David.
Steve Mills: Next question.
Operator: Your next question comes from the line of Terry Bivens with JP Morgan. Please proceed.
Terry Bivens - JP Morgan: Hi, good morning everybody.
Steve Mills: Good morning.
Pat Woertz: Good morning Terry.
Terry Bivens - JP Morgan: Pat, just a question on capital allocation. I know it's been a debate for some time in terms of buying capacity versus buying stock. I guess one way to look at things is it does seem that from this point you are looking towards improvement going forward in your base businesses. Is that going to change the way you'd look at share buyback here. I mean clearly the level of repurchase has been, you know, given your size, I would say somewhat minimal and I know, there has been a lot of debate on this, but what is your current thinking on share repurchase?
Pat Woertz: Well, Terry as you know when we had discussions with the rating agencies back last spring when we issued our mandatory converter, our equity units and again last fall, you know, we talk with them every quarter. That is a discouragement on the part of agencies for us using cash for share buybacks. Now that doesn't mean that discussion won't continue or can't change, and if we want to maintain our credit rating, which is very important in our business, it allows us you know, cost deficient taxes to Tier 1 commercial paper, et cetera. We do value that rating and that strength and flexibility. We will be meeting with the agencies again this fall as we do. We will have those discussions and commodity price levels are always part of that discussion and our balance sheet and our strength and so forth. So I think it is perhaps less of an issue as it might have been before, when we had very significantly different working capital level needs, et cetera. But again we keep our powder dry and we reserve -- we always are talking about driving for acquisitions that add value, be they small or medium-size and in this environment we continue to see more of those. So I think we have options, we have good options, even better ones than ever for our shareholders. So we will continue to have the discussion about how the best to use that cash.
Terry Bivens - JP Morgan: Okay, thanks very much.
Pat Woertz: Thanks Terry.
Operator: Your next question comes from the line of John Roberts with Buckingham Research. Please proceed.
John Roberts – Buckingham Research: Good morning.
Steve Mills: Hi John.
John Roberts – Buckingham Research: Is it fair to assume the decline in ag services was more in the merchandising area than a drop in risk management?
John Rice: Yes, it was a slow -- it's normally a slow period. We did not see the world trade as active as it has been. Many people were just being -- staying out of the market using their inventories. We have seen that slowly start changing and people have started coming back to the market with more purchases and also more forward purchases.
John Roberts – Buckingham Research: Okay, so more of that decline was in merchandising. The press release said --
Pat Woertz: John, hold on one second.
Steve Mills: And I guess I'll just add to the John's comments that it's hard for us to differentiate risk management from merchandising because risk management is part of that and we talk about risk management. It's about commodity risk management positions, freight. You know, we don't have any real issues with counter party risk and that kind of thing, but I guess I'd -- to me it's all integrated. I'm not here to argue. It's all part of the program.
John Roberts – Buckingham Research: Okay, the reason I'm started down this path here is that while processing volumes were down the release said sales volumes were up, which I guess the merchandising tons were up, at least enough for you to comment on that. So I'm trying to understand that the drop in income with the increase in volume. Was that a lot of high cost inventory going out with the merchandising volume during the quarter?
John Rice: It's a margin business, and that's what really drives the P&L, and I don't think there's much more than those to that. So it's you know, it's volumes, margins, and then we have to -- as we talked earlier in our conversation those are brought to market (inaudible).
John Roberts – Buckingham Research: Okay, and then second question is if I remember correctly, return on equity is the largest component of the incentive compensation program and you're below the cost of equity now or cost of capital.
John Rice: The incentive, well Pat do you want to take that or --
Pat Woertz: Our compensation program relates to earnings, to return on that asset, and smaller component of performance metrics and safety, and then of course the discretionary piece for the compensation committee of the Board of Directors.
John Roberts – Buckingham Research: Did you meet your objectives for the year or did you have to have some adjustments at year end because of the weak fourth-quarter?
Pat Woertz: We have those discussions yet to take place with the Board.
John Roberts – Buckingham Research: So you might have met them or you might have not?
Steve Mills: It's based on an annual performance and those are all go into a model that is described in our conversation disclosures in the proxy and that the board to look at this week.
John Roberts – Buckingham Research: Okay, I'll get back in the queue. Thank you.
Steve Mills: Okay.
Pat Woertz: Thank you John.
Operator: (Operator instructions) You have a follow-up question from the line of Vincent Andrews with Morgan Stanley. Please proceed.
Vincent Andrews – Morgan Stanley: Hi, thanks for taking my follow-up. I just wanted to ask you know, in prior quarters you talked about the credit environment being tied in your commercial paper access being an asset in ag services, and perhaps giving you some leverage and some opportunities that the smaller players did not have. Does that opportunity set to run its course?
Steve Mills: I personally -- and this is Steve. I don't think that it ever runs its course. I think there's always a value there, but as kind of business conditions have weakened here, it made probably less of a difference and as the credit markets have loosened up some it's probably made less of a difference, but I don't think our leverage knowledge that it doesn't have any value.
Vincent Andrews – Morgan Stanley: Fair enough. Thanks so much.
Operator: Next question is a follow-up question from the line of David Driscoll. Please proceed.
David Driscoll – Citi Investment Research: Great. Thanks a lot. John, I just wanted to go back to some of your comments on ethanol. I think in the prepared comments you all indicated that there was still a fairly significant amount of idle capacity out there, something like 1.5 billion to 2 billion gallons, or I'm sorry 2 billion to 2.5 billion gallons of idle capacity, and 1.5 billion to 2 billion gallons of capacity under construction. Wouldn't that put total ethanol capacity still well above the mandate even for next year. That's kind of the first point and you know, a lot of this is in response John to your comment that you said that the ethanol business looks "very good," very good to me felt like 2006. It doesn't feel very good right now, but I think you feel differently. So can we just discuss this a little bit further?
Steve Mills: Sure. The -- many of these plants will not start up just due to working capital. We're -- we get many calls still on plants that are under construction, that are not going to finish construction. Working capital is still going to be an issue. This is not going to be an easy business. Some plants are just built in the wrong location. If I said very good maybe that was too strong of a term. I feel it is going to be better going forward with the supply and demand situation. If we have a very good corn crop, we should have lower net corn. We are seeing incremental blending above the mandate. We have a 12 billion gallon mandate starting in January, and I feel the supply and demand should be somewhat balanced coming into that period.
David Driscoll – Citi Investment Research: Okay, so the comment in this make sense to me is that we were long ago, you know, three months ago we were looking at a poor [ph] industry that was losing money. The margins have now gone positive and so things feel -- they feel better, the balance feels better. Is that characterized really what you're trying to get at?
Steve Mills: Yes.
Pat Woertz: You know I also might add David, even just basic gasoline demand is up, it's higher reported EIA data is higher in May than it was any month during the summer last year. So if people are buying a bit more and therefore blending and when blending economics are good and overall gasoline consumption is up, there is a little room to move again.
David Driscoll – Citi Investment Research: Just one final point on this. Just in the last few weeks we've seen corn really turn around and start to move higher on perhaps the expectation that the acreage number from the government was a little optimistic on June 30th. You know, number one, just can you make some comments here on how these higher corn prices affect your -- the margins today and I hate to be so short term oriented, but it just seems like four, five, six weeks ago I had $0.20 margins in ethanol, and now today those numbers looks like they come down in half because of the rally in corn prices. If corn continues to go higher, I'm more nervous about the ethanol business simply on that front. Does that logic makes sense to you or do you see it differently?
Steve Mills: Well, also ethanol prices have increased and we still have very good blending economics. Without the tax credit, ethanol is $0.25 a gallon currently less than unleaded gasoline, and you put in another $0.40 on top of that you have $0.60. Blend in economics are still there. Ethanol prices can still go higher. We always do like large corn corps, and the larger the corn crop, the more beneficial I think it will be to the ag services and also to the ethanol industry.
David Driscoll – Citi Investment Research: Are you worried about the corn acreage relative to the June 30th estimate or not?
Steve Mills: It's going to be more of a yield and just what the latest reports that have come out even of yesterday, people are anticipating very high yields, a lot higher than what the government said. Now, this is also August, and we will not start harvesting this crop for another month, a month and a half. So there is still other things that can play out, but according to the data, according to what they show for the supply and demand and to carry out for next year, things are currently looking positive.
David Driscoll – Citi Investment Research: Great. I really appreciate the comments. Thank you.
Pat Woertz: Thank you David.
Steve Mills: Thank you.
Operator: And you have a follow-up question from the line of John Roberts. Please proceed.
John Roberts – Buckingham Research: Does the oilseeds processing volume normally seasonally decline as you move from the June quarter to the September quarter, or does it seasonally normally increase? It declined 3% last year, but we had kind of a -- we were going into the declining feed demand last year. So it's hard to separate normal seasonality here.
Steve Mills: I'm sorry. What quarter to what quarter?
John Roberts – Buckingham Research: Going from June to September. So as we look forward to this coming September would it be normal to have a sequential increase or sequential decrease?
Steve Mills: Decrease, during this time period we are seeing more -- in the industry more downtime coming during this period, and then also there is a very tight soybean situation. So USDA is anticipating a smaller crush in North America during the next three month period.
John Roberts – Buckingham Research: And any guidance on LIFO affect in the near term here. Has the volatility been low enough that in prices of grains that it'll be minimal here in the next quarter or two?
Steve Mills: We're not down to -- we're down to just a couple of hundred million in the LIFO reserve total and it's all based on prices at that point in time. So, we're -- in the last time we struck that price level with June 30. So I can tell you what I thought today, but we have to see where September 30 comes. So it's really that relative value between June 30 and September 30.
John Roberts – Buckingham Research: Thank you.
Pat Woertz: Thanks John.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the call over to Ms. Patricia Woertz, Chairman and CEO. Please proceed.
Pat Woertz: Thank you everyone for your questions and attention today. We look forward to talking with you on our next quarter call, which is noted there as November 3rd. Bye-bye now.
Operator: Thank you for your participation in today’s conference. This concludes our presentation. You may now disconnect and have a good day.